Operator: Good afternoon. Welcome to Radiant Logistics, Inc. financial discussion for the first fiscal quarter ended September 30, 2025. This afternoon, Bohn Crain, Radiant Logistics Founder and CEO; and Radiant's Chief Financial Officer, Todd Macomber, will provide a general business update and discuss financial results for the company's first fiscal quarter ended September 30, 2025. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all factors which may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past and may in the future, be identified in the company's SEC filings and other public announcements, which are available on Radiant's website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now, I'd like to pass the call over to Radiant's Founder and CEO, Bohn Crain.
Bohn Crain: Thank you. Good afternoon, everyone, and thank you for joining in on today's call. Notwithstanding the difficult freight environment, we delivered another quarter of solid financial results, generating $6.8 million in adjusted EBITDA for our fiscal quarter ended September 30, 2025. Excluding the impact of an unusual and onetime $1.3 million bad debt expense related to the First Brands bankruptcy, adjusted EBITDA would have been $8.1 million. And while much of the growth in our transportation revenues from the quarter came through our acquisition efforts, we are seeing interesting organic growth opportunities in connection with our contract logistics, custom services and emerging technology services offerings. We are early in our journey, but we are particularly excited about the prospects of Navegate, our proprietary global trade management and collaboration platform. Navegate represents a meaningful differentiator for us in the marketplace and supports both domestic and international shipments by aggregating and organizing supply chain data to deliver enhanced visibility, automation and faster decision-making. With streamlined deployment measured in weeks, not months or years, our customers can quickly reduce costs, optimize routing and improve buying and routing decisions. We believe the speed to market and ease of deployment represents a clear competitive advantage and that Navegate will serve as a meaningful catalyst for organic growth as we introduce the technology to our current and prospective customers in coming quarters. As previously discussed, we believe our durable business model, diverse service offering, disciplined approach to capital allocation and low leverage continues to serve us well. We remain virtually debt-free with net debt of approximately $2 million as of September 30. Relative to our $200 million credit facility and are on track with our continued efforts to deliver profitable growth through a combination of organic and acquisition initiatives while thoughtfully re-levering our balance sheet through a combination of strategic operating partner conversions, synergistic tuck-in acquisitions and stock buybacks. In this regard, in September, we achieved a significant milestone with our acquisition of Mexico-based Weport. Mexico is an important market for us and in addition to supporting Radiant's legacy and prospective customers across Mexico. With respect to our stock buyback program, we acquired $0.8 million of our stock through the 3 months ended September 30, 2025, and another $2.8 million of our stock subsequent to the September 30 and through November 7, 2025. Looking ahead, we expect to continue our balanced approach to capital allocation through a combination of agent station conversions, synergistic tuck-in acquisitions and stock buybacks, while at the same time looking to invest in incremental sales resources with attention given to our deployment of the Navegate technology. With that, I'll turn it over to Todd Macomber, our CFO, to walk us through our detailed financial results, and then we'll open it up for some Q&A.
Todd Macomber: Thanks, Bohn, and good afternoon, everyone. Today, we will be discussing our financial results, including adjusted net income and adjusted EBITDA for the 3 months ended September 30, 2025. For the 3 months ended September 30, 2025, we reported net income attributable to Radiant Logistics of $1.293 million on $226.7 million of revenues or $0.03 per basic and fully diluted share. For the 3 months ended September 30, 2024, we reported net income attributable to Radiant Logistics of $3.376 million on $203.6 million of revenues or $0.07 per basic and fully diluted share. This represents a decrease of approximately $2,083 million of net income over the comparable prior year period or 61.7%. For adjusted net income, we reported $4,467 million for the 3 months ended September 30, 2025, compared to adjusted net income of $7,883 million for the 3 months ended September 30, 2024. This represents a decrease of approximately $3,416 million or approximately 43.3%. For adjusted EBITDA, we reported $6.797 million for the 3 months ended September 30, 2025, compared to adjusted EBITDA of $9.452 million for the 3 months ended September 30, 2024. This represents a decrease of approximately $2.655 million or 28.1%. The current quarter largely mirrored trends that we saw in Q4 2025 as we've had persistent headwinds with the challenging freight market. Excluding the $1.3 million bad debt charge related to First Brands, adjusted EBITDA would have been $8.1 million, modestly exceeding the $7.9 million reported in Q4 of 2025. With that, I will turn the call over to our moderator to facilitate any Q&A from our callers.
Operator: [Operator Instructions] Your first question is coming from Jason Seidl from TD Cowen.
Jason Seidl: Two quick things. One, more of a longer-term thing. How should we think about Navegate in terms of how deployed is it currently how quickly you could get it out to your customer base? And how many customers in total do you think ultimately need to have it? Is it 100%? Is it 75%? And then I have some follow-ups.
Bohn Crain: Yes, sure. Thanks, Jason. So as I kind of alluded to, we are early days with Navegate. And just kind of level set, I guess, when we acquired the company, Navegate, which was formerly known as North Star, it had some really interesting technology inside of it, which we now refer to as Navegate or in some context, GTM for Global Trade Management. So there is a number of legacy Navegate customers on the technology, but we have been spending the past 1.5 years or so integrating GTM with our core technology stack, which some on the call might know as SAP. So we've been spending time to basically get those systems connected so we could leverage our 100-plus operating locations across the country is effectively virtual sales organizations to get in front of current and prospective customers to introduce the features and functionality. And early on and as we acquired Navegate, that technology was used almost exclusively in supporting ocean import business. But we have tweaked the technology such that it's now capable of supporting both international and domestic services, and we're in the middle of a fairly significant deployment where the principal focus is actually on the domestic transportation and shipping side and kind of a holistic vendor management strategy for kind of for the entire supplier base. And so we're -- this is not a one-size fits all. I don't think all of our customers will need necessarily to access this, the breadth and depth of this technology. But for those customers that really want to partner and kind of manage their supply chain in this way, I really don't think that there's anybody out there that has this technology, not only our direct peers, I'm not aware of any -- of kind of even the big boys, I'm not aware that they have an offering quite like this. And then another thing that I will mention is one of the common little threads for Radiant that we talked about is trying to work with kind of meeting people wherever they want to be met, right? That extends to our agency stations and whether they want to be agents or convert and become company-owned stores. But it also extends to our customers and how they might choose to interact with us around this technology. So specifically, we are in a position and kind of open for business, if you will, to sell the technology on an unbundled basis and act as effectively a 4PL managing -- getting our customers' freight all under one umbrella, even if we're not necessarily managing all of the freight or we can effectively sell the technology on a bundled basis as part of the individual shipments that we do manage. So we're intending to be pretty flexible, leverage our footprint and our reach and get out there and share what we think is a pretty exciting new offering coming to the marketplace. And kind of alongside that, I expect that we will be making incremental investments in our sales resources to really prime the pump and get out there to try to get some good ramp and acceleration around adoption of the technology as we move forward. And so there's a real emerging, whether you want to call it freight tech or SaaS type solution, but there's -- I think that there's a real -- and emerging is the right word to use for it, but we're really excited for the prospects and having a real distinguished differentiator in the marketplace to get in front of our customers and prospects with.
Jason Seidl: No, that makes sense. Now how many quarters do you think it will take to have a noticeable impact on the P&L?
Bohn Crain: I think within the next couple of quarters, we're going to be able to talk about incremental organic growth that we have earned through this differentiated offering. But I think it will -- but I think it's going to be a long and exciting journey in terms of onboarding customers. This isn't like we're going to like cap out and 18 months and kind of hit peak. I think this is a long-- going to be a long and differentiated offering. And hopefully, we can make a lot of hay with it.
Jason Seidl: Well, I think in future calls, it would help if you can put some numbers around the adoption of the technology for us. That definitely would be very helpful. Bohn, getting back to sort of the near-term macro. Obviously, it's a difficult freight environment. But how should we be thinking about the current quarter? So the roll from sort of September to October to November, what are your clients telling you to expect on the peak sort of thing -- on the peak side of things? And how should we think about the current quarter?
Bohn Crain: I mean I think freight is -- when you say the current quarter, you mean the upcoming quarter ended December, correct, that you're asking?
Jason Seidl: Yes. The one we are in now.
Bohn Crain: Yes. So I mean, I think it continues to be a relatively difficult market out there, particularly for the international business and all the vagaries of tariffs and what's coming and going and how customers are trying to manage through that. We do seem to be seeing some kind of early signs of improvements and kind of over-the-road stock brokerage pricing. We -- thankfully, we don't have a lot of exposure to long-term contracts in the over-the-road space. So we're hoping to see a little improvement in terms of the performance of our own brokerage operations. How sustainable that will be, time will tell. But given all of the CDL and other kind of mandates that have been coming out, it's kind of, I think, bringing along the notion of there needs to be some market rationalization on the capacity side of things. And so I think some of those initiatives are helping that along a little bit. So I think we'll see a little improvement there. Some of these ancillary services, so I think core trans is going to continue to kind of muddle along. At the same time, as I alluded to in the prepared comments, in the kind of the value-added services, whether it's contract logistics and warehousing or kind of incremental opportunities on the customs brokerage side with the elimination of the de minimis rule or what we're doing on the tech side is all of those things are going to help mitigate what some of these challenges that I think are going to persist into calendar '26.
Jason Seidl: Okay. That makes sense. On the warehousing side, we've been hearing that some of the warehousing pricing is getting a little bit more challenged as some of the COVID builds come online. What are you guys seeing out there?
Bohn Crain: Well, most -- again, as a reminder, most of our warehousing in our current environment is based up in Canada. And Canada has been a real beneficiary with some of the, what I'll call the tariff dynamics and shippers trying to mitigate or defer kind of the tariff dynamics. And so there's been a lot of incremental opportunity in Canada and Mexico for that matter as shippers are just trying to navigate through the tariffs. So we remain pretty bullish on the contract logistics opportunities in our kind of adjacent trading partners in Canada and Mexico. And at least today, we don't have much meaningful warehouse exposure in our U.S. operations.
Jason Seidl: Okay. That's helpful. Well, you know what, TD, we love the Canadian. So…
Operator: Your next question is coming from Jeff Kauffman from Vertical Research Partners.
Jeffrey Kauffman: Jason asked a number of my questions, but I'm going to ask them a little differently. You talked about what's going on in the truck markets. You got the recent airworthiness directive taking some MD-11s out of the international movement space. You got spot rates that are making it a little bit challenging domestically. Where is this making a difference for you? And where is it not really affecting Radiant?
Bohn Crain: Well, I think we're being -- I think it's making a difference at all. I mean we're kind of in the same pond with everybody else navigating these issues. So I don't think we're necessarily insulated or immune from these market challenges that most everybody else is facing. We don't have as much pure retail exposure as maybe some of our competitors would. So maybe we're a little less exposed there. But we don't like where ocean rates are or the tariff dynamics any more than most other folks. So I don't -- so I think we're kind of in the soup with everybody else, but maybe just with a little less exposure to the retail side of things and maybe a little more exposure to the government sector and government spending, which is, I think, a net positive.
Jeffrey Kauffman: Well, I was going to ask about that with the shutdown, which was mostly after the quarter. But was that anything that affected your business? Or was the business that you did largely immune to anything that happened?
Bohn Crain: Well, we're starting to see a little of that, but I think that's going to be short -- very short term in nature as opposed to kind of more of the macro. But I'm optimistic the government shutdown will resolve itself here in the coming days, if not weeks. But resolving the more macro tariffs and demand and capacity and how that continues to resolve itself, I think that's a much longer time line and story.
Jeffrey Kauffman: All right. And then just a follow-up on Navegate because this is an exciting deployment that you're doing. And I apologize if you feel that you've answered this already. But once this rolls out, 12 months from now, you talked about improved buying, improved routing. What types of things are you going to be able to do that you couldn't do 12 months ago?
Bohn Crain: I think in -- well, a couple of things. One is it's now actionable. Remember, a big part of what we've been doing -- well let me back up and make even a more foundational comment. Navegate has been building and refining this technology since the early '80s. So this isn't some new shiny object that just got created with AI and some kind of pie in the sky idea. I mean this is kind of battle-hardened technology that's been deployed and been used for quite some time, focused almost exclusively on the international side of things. And we've taken that and we've massaged it and got it positioned now to support -- it will be a bit of our coming out party, so to speak, because we -- until we got GTM integrated with SAP, it really -- we couldn't go sell it to a customer because we weren't actionable. If they said, yes, we couldn't really operationalize it within our operating system. But now we can, right? And we've evolved the product to be really a more holistic tool supporting both domestic and international. So for somebody who has an appetite or interest or sees value in really leaning in and managing their vendors and kind of managing the transportation spend of the vendors supporting them, we've got a really interesting way for them to get at that. And another kind of aspect of this that we kind of touch on in our press release is kind of different runs at the solution have occurred from time to time. But getting the solution actually deployed and vendors trained on the tool and how all of that works can be a cumbersome and challenging process. And we've kind of cracked the code on ways to get that deployed to broad numbers of suppliers without a lot of pain and brain damage from supplier adoption. And so that's a game changer.
Operator: [Operator Instructions] Your next question is coming from Mark Argento from Lake Street.
Mark Argento: Just a couple of quick ones. I just wanted to get any updated thinking around the Weport acquisition. You've had it in-house for a couple of months. And then also just want to touch on the First Brands bankruptcy. It looks like you wrote down $1.3 million. Do you think there's an opportunity to claw that back at some point? That would be helpful.
Bohn Crain: Sure. So we're just into the Weport acquisition, but we're really excited to have been able to get that transaction done. Mexico is, I think overtaking China as U.S. is #1 trading partner. We have a lot of existing customers as they continue to diversify away from China, either to Southeast Asia or other locations, doing more and more in Mexico. So we wanted to augment our presence in Mexico to support our existing customer base much less get in a position to support kind of incremental customers with everything going on in Mexico. So -- and we've really been focused on the idea of continuing to build out our own footprint here and North America, emphasize North America. Historically, we've obviously been strong in the U.S. and Canada, but we were -- had a modest presence in Mexico itself. So the Weport transaction really solidifies our capabilities across all of North America. For those who have been with us a while know we've been on the border doing cross-border for some time, but we've never had a meaningful true international air and ocean capability in Mexico that Weport now brings us. On to First Brands, that candidly caught us by surprise, and I haven't followed it terribly closely, but it looks like that's a real a lot of people got scorched in a really, really big way in and around First Brands. We're obviously not happy to take that $1.3 million charge that we encountered. But we're not -- we're exploring when and if it would make sense to support them on a post-petition basis in the bankruptcy, but we don't have clarity to that yet to know whether or not that would make sense or not. It's -- the fact that a lot of other people got impacted doesn't make it feel any better, candidly. But we're -- at the same time, we're not alone in kind of how we ended up where we were. And it was -- again, I don't want to speak too far out of school on the First Brands situation and the dynamics that got them there. But I think I don't think anyone appreciated there was a kind of a going concern issue at First Brands until literally the lenders kind of sniff something out and kind of called everybody to the table. And so it was one of those -- it was good until it wasn't, and it all was very quick the way that it unraveled. But to kind of round out that conversation, we're certainly don't -- we don't believe this incident is reflective of a broader risk across our portfolio of customers, et cetera. This really was kind of a one-off unique situation tied to what appears to have been some unusual activities inside of First Brands.
Operator: Your next question is coming from Mike Vermut from Newland Capital.
Michael Vermut: Great execution in this market here. Question for you. Are there any -- Navegate, are there any use cases that you have that you can discuss how you're deploying it? And does it increase the size of the customer target for us? Are these larger customers that we can be targeting now? Is it a broader market that we're looking at? Like how does it change the TAM for the company?
Bohn Crain: So a bit of a delicate question. Yes, we've got some great case studies that we can't talk about them yet because we don't kind of have "permission" but we for those folks who have been on these calls for a while, I'm -- you'd be hard-pressed to find me talking as bullishly about anything prior to Navegate than what I think it represents as an opportunity set for us. So can I get into specific names? No, not yet. But hopefully, in time, we'll have an opportunity to share some of those things. But to your second question, yes, not to the exclusion of smaller shippers, but I do think this gives us an opportunity to bring new value to larger shippers with complex supply chains who've been trying to kind of solve the riddle in a way that they've struggled that we can bring kind of a new tool to the table to help them address some of these types of initiatives that I think are really going to bring a lot of value to the customers. And kind of one of the -- just to kind of give you a sense of one of the dynamics without getting into the who, but just kind of more of the what is as we onboard customers who are managing their suppliers and bringing their suppliers onto the platform, those suppliers themselves in turn are getting exposure to the tool and create yet incremental opportunities from the suppliers who are trying to solve some of those same or similar issues from their own perspective. And so we're really hopeful that this is going to really light up in a way that just is not a way that we've ever had an opportunity to think or talk about the pipeline or the opportunity set or our go-to-market strategy. It's just a different framework, right, that we're going to get to test out.
Michael Vermut: Excellent. And then into my next question. So when you go -- it's really incredible when you look at what you've done to this company over the past 10 years, right? The acquisitions, the value accreted, the balance sheet strength, the debt paydown, the cash generation and all of that, right? It's a different company than we were 10 years ago. It could be one of the biggest changes in the company in our space that I've seen. And yet our -- the valuation on the company is the same, if not less, because we've repurchased shares along the way.
Bohn Crain: I was going to tease you for not mentioning the stock buybacks, and we've been buying back our stock. We [indiscernible].
Michael Vermut: The valuation is lower than it was 10 years ago, and the value created is significant along that way.
Bohn Crain: Yes.
Michael Vermut: Is that -- and I see -- I kind of feel like you've realized that here. And so our buyback has accelerated at these levels, knowing what Navegate may take that we're at the bottom of the cycle here, should we assume that if we do stay here, you will utilize that buyback maybe even larger than it has been in the past?
Bohn Crain: Yes. Well, we never want to commit to magnitudes, and we do value our financial flexibility. But at the same time, the short version is we expect to continue to be active in our stock buybacks at these types of price points. We think it's a great use of capital. And so we'll continue to be there on where we think there's kind of obvious value. And so we look at a lot of deals, and I can tell you, I'm not aware of any other company on the planet of our size that you can buy at our implied multiple.
Michael Vermut: Right. I think, there's no question that we are at a spot where buyback -- and I actually haven't seen the future and heard it in your voice, what the potential is out there. So yes, I think buying back stock here with our balance sheet, there's not much out there like we are. So congrats, guys.
Operator: Thank you. That concludes our Q&A session. I'll now hand the conference back to Bohn Crain for closing remarks. Please go ahead.
Bohn Crain: Thank you. Let me close by saying that we remain optimistic about our prospects and opportunities to continue to leverage our best-in-class technology, robust North American footprint and extensive global network of service partners to continue to build on the great platform we've created here at Radiant. At the same time, we intend to thoughtfully re-lever our balance sheet and through a combination of agent station conversions, synergistic tuck-in acquisitions and stock buybacks. Through our multipronged approach, we believe we will continue to create meaningful value for our shareholders, operating partners and the end customers that we serve. Thanks for your listening and your support of Radiant Logistics.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.